Mads Langaard: Good morning, everyone, and welcome to Kongsberg Automotive's first quarter 2024 earnings call presentation. Today's presenters are our President and CEO, Linda Nyquist-Evenrud; and CFO, Frank Heffter. Linda, the word is yours.
Linda Nyquist-Evenrud: Thank you, Mads. Once again, welcome to this Q1 earnings call. So together with Frank, I will take you through our Q1 results. So let's move to the executive summary. As per our Q1 report as well as our Q1 announcement, we have put all our focus on regaining profitability and generating positive free cash flow. Q1, therefore, marks a significant step in the right direction for us. The results show year-over-year an increased operating profitability on a slightly lower revenue. EBIT ended at EUR 10.1 million, an increase by EUR 6.5 million versus Q1 last year. We have high ambitions to lower our cost base and are fully on track to deliver on our promises. And in line with our cost optimization program, we continue to evaluate our current footprint and are also relocating to countries and areas with lower cost. In terms of new business wins, in the quarter, we managed to sign another record high amount of EUR 450 million lifetime revenues, which is an increase from EUR 198 million in the same quarter last year. We are glad to see increased interest in our wide range of products for our -- from our top Tier 1 customers. And we are especially pleased with the development and interest in our electric actuators. Q1 revenue ended at EUR 212.1 million, an improvement versus Q4 last year and a slight reduction versus Q1 2023, primarily related to the commercial vehicle market in the European region. This was related to exceptionally high revenues in clutch actuation systems, vehicle dynamic products and couplings in Q1 last year, a result of program ramp up and post-COVID effects still impacting our customer base such as supply chain issues to maintain high backlog levels at their side. This situation has improved since Q1 last year and Q1 this year is reflecting a more normalized situation within both the commercial vehicle segment as well as the European market. In the Americas as well as in Asia, including China, we outperform the market in Q1 this year. In the first quarter, we are showing a significant improvement in free cash flow compared to Q1 last year. I'm confident that the measures we have taken will lead to a positive free cash flow for the full year 2024. Leverage ratio is set to 1.8, up from 1.3 in Q1 2023. In terms of our net interest-bearing debt, it amounted to EUR 114.9 million, a deterioration compared to Q1 last year, driven by the decrease of the cash balance during 2023. Moving into the next slide, you can see the numbers reflected on the previous slide linked to core and noncore business as well as the development over the past quarters. As already highlighted, our core business revenues in Q1 last year represented exceptionally high revenues in Europe, driven by program ramp ups as well as post-COVID and supply chain effects, while Q1 this year is representing a normalized level. All in all, comparing year-over-year, we increased our operating profitability on a lower revenue. The noncore business declined in terms of year-over-year revenues, a result of the program slowdown addressed in our Q4 earnings call. EBIT for our noncore business amounted to EUR 5 million, an improvement year-over-year of EUR 5.9 million, benefiting from onetime effects as well as the impaired assets and onerous contracts provisions of 2023. So let's take a look into the business areas, starting with Drive Control Systems, on the next page. We can see revenue reduction from EUR 102.7 million to EUR 92.5 million year-over-year, including the negative currency translation effects of EUR 1.1 million. Once again, Q1 last year represented exceptionally high revenues related to commercial vehicle market and the European region. The impact of declining volumes was offset by operational improvements in variable costs and other operational costs as well as settlement with a supplier on a warranty claim. Comparing with Q1 last year, the change in impact from inventory revaluation was negative with EUR 2.3 million. New business wins amounted to EUR 282.8 million of lifetime revenues for DCS in Q1. Moving into the business area of Flow Control Systems. Q1 ended up with revenues of EUR 82.7 million, EUR 1.5 million lower year-over-year including negative currency translation effects of EUR 100,000. As mentioned a couple of times already, the strong sales related to commercial vehicle market and the European region in Q1 2023 also had a positive impact on the FCS business last year. EBIT came in on EUR 4.5 million, a reduction year-over-year, driven by onetime valuation effects in relation to inventory in Q1 last year, being positive with EUR 1 million, whereas Q1 this year, they were negative with EUR 2 million. New business wins amounted to EUR 144.7 million of lifetime revenues for FCS in Q1 and the main driver for this result was a large contract with a European OEM with a contract value of EUR 105.7 million to supply metal and plastic fluid transfer assemblies used in heavy-duty truck engines. So moving on to our new business wins chapter and starting with book-to-bill, as per our guidance in the Q4 earnings call, we are expecting to exceed our 2023 book-to-bill ratio of 1.1 and lifetime revenues of EUR 989 million in 2024. With the all-time high bookings now in Q1, we already see the results of this with a book-to-bill increased to 1.2 for the quarter. We have announced several significant contracts now in 2024, confirming that we are progressing well. Let's move into the next slide to see how the wins are divided per segment and per area. On the left-hand side, you can see the lifetime revenues already mentioned per segment -- per business area amounting to an all-time high total lifetime revenue of EUR 450 million. As you can see on the illustration on the right-hand side, more than 70% of the book business is linked to commercial vehicles, followed by the passenger car, driven by their new business won in FCS. Within the industrial segment, awards include new products such as UltiPure and UltiFlex and the awards are shared regionally between North America and EMEA. Our agriculture and construction new growth markets won over EUR 17 million in sales and the company continues to focus on new opportunities in this important segment. So we have a great start to 2024 with significant wins across all segments with the most dominant market area being the truck, trailer, bus and coach markets, which as we have stated previously is of major strategic importance and is a clear priority for us. It is also pleasing to note that we have won significant new business wins with our actuation technology, vehicle dynamics portfolio and our hose and tube assemblies for low-emission engines. So before we move into the market update, I would like to put some light on the announcement we made on April 26th. And let's move then to the next slide. A major contract extension worth EUR 523 million in estimated lifetime revenues for our gear control unit or GCU, with integrated clutch actuator. The GCU is a valve-based device designed for manual transmission trucks, allowing them to be driven as automatic transmission trucks if desired. This innovative technology enhances operator convenience by eliminating the need to switch gears while preserving the fuel efficiency typical of manual transmissions. We have been producing the GCU product for over 7 years and the contract renewal is awarded by a major global manufacturer of transmissions for heavy-duty trucks. This 5-year contract is a continuation of our existing business that will extend until 2028. Our plants in Nuevo Laredo, Mexico, and Wuxi, China, will produce and deliver the products. And this contract extension underscores our position as a preferred long-term partner for critical technical products that prioritize innovation, technology and customer supports. The GCU, with integrated clutch actuation, is a world-class product that allows for easy service with rapid and precise clutch actuation. Securing such a significant contract extension is the ideal building block for the ambitions that we have within the actuation area. And it confirms our competitive position in both North America as well as in Asia. So let's move in to the chapter market update, where we then start with a well-known page describing how the global production for both commercial vehicles and passenger cars is developing. As you can see, the global commercial vehicle market is showing a growth development year-over-year, driven by higher production volumes in all regions except for North America, resulting then in a 5.2% growth year-over-year as well as comparing 2024 with full year 2023. The global passenger production indicates a decline of 0.7% year-over-year, triggered by Asia-Pacific, excluding China, Europe as well as South America. Comparing the full year, we see a reduction of 0.4% comparing then 2024 production with full year 2023. And for completeness, we are also including a market forecast on the next page. And from the more long-range perspective, we see moderate-to-strong market growth in the commercial vehicle segment. The LMC March 2024 report indicates a growth rate of 14% including China for the time frame 2024 to 2028. Worthwhile to notice is that there is no significant impact of the Chinese market, something that has been a trend over the last quarters. In terms of the global passenger car market, we see low-to-modest growth -- market growth. IHS March 2024 report indicate a global production growth of 6%, including China, for the time frame 2024 to 2028 and 4% growth if we exclude China for the same time frame. If we look into the Q1 performance on the next page, where we have the different areas and regions, we can see that we have outperformed the growth in the commercial vehicle market in China, something that is also valid for the Americas. The significant growth in China is mainly due to the new customer programs related to gear shift systems. While the production output in Europe was relatively low in Q1 2023, KA, we had sales in the same period on an exceptional high level. And that is resulting in the opposite trend line when comparing Q1 2024 with Q1 2023. Our sales to passenger vehicle market declined in Q1, driven by a reduction in Europe and our noncore business. However, revenues in Americas outperformed the market and this was driven by increased revenues in North America related to our FCS business. So moving on to the next page, the development of the global market situation within the automotive industry. As we have reflected in the subtitle, we see a general gradual improvement in the supply markets. Labor cost is related to increases in best cost countries such as Mexico, coming then from a low base. Energy prices are [ flattering ] and have been stable over the last couple of quarters. And raw materials such as steel, copper and aluminum have shown an increased price trend driven then by the geopolitical risks. In terms of our customer demand, it is worthwhile to reiterate that we have limited ability to influence the short-term demand and we are highly dependent on our larger customer programs. And with that, we conclude the executive summary and I'll leave the word over to you, Frank, to take everyone through the financial updates.
Frank Heffter: Yes. Thank you very much, Linda. And a warm welcome as well from my side to this earnings call. Let me shed some more light on the financials, starting with the top line, the revenues, which came in at EUR 212 million, decline over previous year of EUR 17 million, which was driven by, on one hand, the expected decline in Driveline or the other operations, EUR 5 million or 12% decline. We are expecting that this is going to continue going forward. There was a small currency effect of EUR 1.6 million as well. And in the core, specifically in the on-highway segment, we were facing tough comparables, i.e., the 2023 Q1 revenues were very high and thus solid performance in Q1 2024 still led to a reported decline of revenues. The number is still fully in line with our overall guidance on a prorated basis. When we look at the bottom line, then I'm happy to report that despite the lower revenue, we were able to significantly increase our EBIT to EUR 10.1 million or 4.8%. This was combined by EUR 5 million contribution from the core business as well as EUR 5 million from the other operations business or the shifting business from Driveline. Also here, we are prorated well in our full year guidance. When we look at the decomposition of revenues and EBIT by business area, then you see that the Drive Control Systems business area showed the highest decline in revenues based on the strong [ 2003 ] Q1. But still, the profitability increased by EUR 3.1 million on lower cost, specifically variable cost and material, that will also support the quarters to come. In the Flow Control Systems business area, we saw less of a decline, especially the Fluid Transfer System business performed very well. On the bottom line, we saw a significant swing in the inventory revaluation from 2023 positive to 2024 negative, which basically explains all of the EUR 3 million deterioration. Very positively development in Driveline or other operations, despite the already mentioned top line decline, the profitability improved on the back of the impairment, obviously, that we have taken in 2023, which results in no further depreciation burden in 2024 as well as the onerous contract provisions that we have built in 2023 and now are benefiting 2024. And last but not least, the efforts to reduce the overall cost in this business area as certain engineering and sales and support function are not required anymore as we continue to wind down the business. So in -- all in all, EUR 4.5 million increase in Driveline compared to previous year. Last but not least, on the FX and others, specifically others, so corporate cost, we also saw an improvement compared to previous year of more than EUR 1 million. When we look at the net income, then obviously, the improved EBIT is one of the 2 main drivers leading to a significantly improved net income with EUR 6.5 million. The other driver is the currency losses, which in 2024 Q1 were significantly lower than in Q1 2023 and amounted to EUR 2.5 million overall. So this led us to a reported net income of minus EUR 0.4 million or basically breakeven. Talking about the FX losses on the next page, we see the accumulated effect of this net currency effects now amounting to minus EUR 13.4 million with a additional EUR 2.5 million of this quarter. On the other financial items, we see 0 as we have had less -- a little less interest on our excess cash from money market funds in Q1 2024 compared to the previous quarters and normal, let's say, other financial expenses. Net interest further improved to minus EUR 2.9 million on the back of repurchased bonds that are now not applicable for interest anymore. Looking at the free cash flow development, we reported minus EUR 14.9 million for the quarter. When you look at the previous years, you see that Q1 tends to be a negative quarter. So expectedly, we also showed a negative Q1 2024. And you look at the seasonality of the business, then you see a relatively low revenue in the fourth quarter of the year, which then leads to lower inflows from the customers in Q1, while at the same time, we are ordering material for the revenues in Q1 2024 already in 2023, which then need to be paid in the first quarter. This, on top of the interest that we pay in the first quarter, EUR 5 million, then naturally kind of leads to a slow start of the year. We are still confident that for the full year, we will be able to report a positive cash flow. When we move on to the liquidity development, then you see that we started with a headroom of almost EUR 220 million. The additional EBITDA widened or increased this headroom, while the change in net working capital, predominantly driven by accounts receivable increase on the higher revenues, lowered it again as well as the investments and the interest paid and the other items you can see in the bridge. All in all, at the end of the quarter, we are still reporting a solid more than EUR 200 million headroom consisting of a cash position of EUR 147.7 million, the revolving credit facility, which is undrawn of EUR 30 million and the also unutilized securitization facility in the amount of EUR 25 million. Moving on to key financial ratios. We are at a leverage ratio of 1.8, basically unchanged compared to Q4 2023, slightly higher than Q1 2023, on the back of the reduced adjusted EBITDA of the last 12 months now including the impairments that we have taken in Q2 and Q3 on the Driveline business. The ROCE, here to mention that we have adjusted the calculation of the ROCE based on a slightly different capital employed calculation, which now excludes the excess liquidity. So capital employed when you compare it to the previous presentations, we were at EUR 450 million, EUR 470 million. If you now exclude the excess cash, we are at EUR 331 million in Q1 2024. And this, together with the negative last 12 months adjusted EBITDA leads to -- EBIT, leads to a ROCE of minus 3.9%. The equity ratio still stands at a solid 30.9%, so above 30%, slight increase from Q4 2023 on the back of positive comprehensive income. With that, I conclude -- I move to the liquidity policy. We have given us a liquidity policy in order to increase the governance and also provide security to the outside world of what are we going to apply in terms of guardrails going forward. So it is structured in 3 basic chapters. First, it's the financing strategy where we define certain ratios and limits that we are applying to. Certainly, we want to always provide sufficient liquidity to the business in order to operate and also to pursue opportunities that are on the horizon. Nevertheless, we have to limit our financial risks and secure our financial independence. And therefore, we are targeting to maintain a net interest-bearing debt-to-EBITDA ratio of below 2, at the same time, a minimum equity ratio of 25%. I just mentioned the 30% we are having. So this 25% is really the absolute minimum that we would allow. And at the same time, we want to continue, also going forward, to leverage a diverse set of financing instruments. And I will talk about the refinancing in a second. The second chapter is on capital allocation. So obviously, our first priority is to support the growth of the business in both ways, on one hand, to fuel the organic growth through CapEx investments and R&D engineering. And on the other hand, the second priority to also be able to look for inorganic opportunities, be it equity investments, joint ventures, or acquisitions. In case of excess cash, we are then applying the third chapter, which is the return policy. We obviously want to allow the shareholders of the company to participate on our success in generating cash through either payout of dividend up to 50% of our consolidated net income or through additional share buybacks. Moving on to the refinancing. Then let's start on the lower right corner. When I just mentioned share buybacks, do not expect share -- additional share buybacks in the short-term because we have clearly stated that 2024 is a year of consolidation. And after the 2.5% share repurchase that we have concluded in March, we are not foreseeing any additional share buybacks this year. We are on the opposite, concentration -- concentrating ourselves on our refinancing, where I'm happy and pleased to announce that we are very well on track to conclude this refinancing exercise. We are in the preparation of going to the market and install a Nordic bond. If you remember, in the last earnings call, I still talked about a dual track, looking at syndicated banking loan and Nordic bond. We have by now concluded that the Nordic bond is going to be the more attractive option for us and are thus only concentrating on the Nordic bond now. The rolling credit -- revolving credit facility renewal is ongoing in parallel and we have already first commitments also to participate from banks. So that's also well on track. And like we said, from a timing perspective, we will watch the market. And the first window of opportunity is still before the summer break and likely, we are going to tap into this window already. With this said, I'll hand it over back to Linda.
Linda Nyquist-Evenrud: Okay. Thank you, Frank. So moving on to our last chapter and slide in today's presentation, focusing on our guidance for 2024. So we reiterate the guidance communicated in our Q4 2023 earnings call to deliver revenues in the range of EUR 830 million to EUR 880 million and EBIT of EUR 34 million to EUR 44 million. Following the great achievements on new business wins in the first months of 2024, the increased interest in our wide range of products from our top Tier 1 customers, we upgrade our full year expectations for new business wins guidance to above EUR 1.2 billion of lifetime revenues and a book-to-bill ratio above 1.2. 2024 is defined as a turnaround year. We have many important and exciting activities on the agenda. The first one coming up is the Capital Markets Day in Oslo on Monday, May 13 and we invite all stakeholders to attend the physical and/or digital events. In line with our cost optimization program, we continue to evaluate our current footprint and are also relocating to countries and areas with lower costs. We have high ambitions to continue to lower our cost base and are fully on track to deliver on our promises. We have introduced Hoshin Kanri, our policy deployment, which focuses on strategic planning that aims to set the high-level objectives, which is then cascaded down to every function in the organization. And this process aims to get every employee pulling in the same direction at the same time. Refinancing is also on our agenda as per the update given by Frank and we have mandated legal and financial advisers and started preparing for the refinancing of the company's senior secured bond and revolving credit facility. And as Frank mentioned, we are well on track with the process and expect to conclude the refinancing in 2024, well ahead of the maturity date of the current instruments. And as a short summary, I would like to emphasize that our significantly improved performance makes me confident that we are heading in the right direction. I expect that all operational measures we are taking will continue to improve the profitability of KA considerably in 2024 and also onwards. And with that, we conclude our presentation and we move over to the Q&A session. So Mads, please take it from here. So Mads, could you please then refer to if there is any questions?
Mads Langaard: Yes. Thank you very much, Linda. The first question is regarding our contracts. Does Kongsberg have any other contracts of a similar size to the recent GCU renewable? If so, how big? And when are they up for renewal or extension?
Linda Nyquist-Evenrud: Okay. I guess I can take that one. In general, we don't comment on single contracts, except for the ones being announced to the market through press releases. When that's being said, as we also have pointed out today, following the great achievements on the new business win side in the first month of this year, we have now upgraded our full year expectations for new business wins and the guidance. And I would say that also then gives a good indication of the pace that we have and the progression.
Mads Langaard: Thank you, Linda. A question for you, Frank. Can you comment on the expected level of investments going forward? Which areas will be prioritized?
Frank Heffter: Certainly. When it comes to prioritization, then it's very clear the priority is our core business, so Drive Control and Flow Control Systems. And here, the amount of investment will very much depend on the growth of the business as the majority of investments is related to new programs, where we have to increase the capacity. So given the high amount of new business wins, I'm expecting the investments to slightly exceed the depreciation level and be in the range of EUR 35 million for the year.
Mads Langaard: Thank you, Frank. I don't think we have any more questions from the audience. If not, we will then conclude today's presentation. Thank you all for your participation. We look forward to seeing you at our Capital Markets Day on Monday, the 13th of May.
Linda Nyquist-Evenrud: Thank you all and have a good day.
Frank Heffter: I think -- sorry, there is one more question coming in here that we should address as well.
Linda Nyquist-Evenrud: Okay.
Frank Heffter: In terms of minimum cash requirement to run the business. With our treasurer, I've discussed this topic and we do see that we need around EUR 25 million to EUR 30 million of cash in order to operate the business given that we do have payment runs that are not always in sync with the payment inflows. And therefore, this is the amount of cash that we need. Obviously, with EUR 147 million cash, we definitely have currently a lot of excess cash available. Handing it back to Mads.
Mads Langaard: Thank you very much, Frank. Yes. We will then just reiterate what we already said. We really hope to see all of you at our Capital Markets Day, the upcoming Monday. And by that, thank you all for today's participation.
Linda Nyquist-Evenrud: Thank you.